Operator: Good day and thank you for standing by. Welcome to the UGI Corporation third quarter 2022 earnings conference call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question and answer session. To ask a question during this session, you will need to press star-one-one on your telephone. Please be advised that today’s conference is being recorded.  I would now like to hand the conference over to your speaker today.
Tameka Morris: Good morning everyone and welcome to UGI Corporation’s fiscal 2022 third quarter earnings call. Joining me today are Roger Perrault, President and CEO; Ted Jastrzebski, CFO; and Bob Beard, Executive Vice President, Natural Gas, Global Engineering and Construction, and Procurement. Roger and Ted will provide an overview of our results and the entire team will then be available to answer your questions. Before we begin, let me remind you that our comments today include certain forward-looking statements which management believes to be reasonable as of today’s date only. Actual results may differ significantly because of risks and uncertainties that are difficult to predict. Please read our earnings release and our most recent annual report for an extensive list of factors that could affect results. We assume no duty to update or revise forward-looking statements to reflect events or circumstances that are different from expectations.  We will also describe our business using certain non-GAAP financial measures. Reconciliations of these measures to the comparable GAAP measures are available within our presentation. Now I’m pleased to turn the call over to Roger.
Roger Perrault: Thank you Tameka, and good morning everyone. I hope that you’ve all had the opportunity to review our earnings release reporting the third quarter results. On today’s call, we’ll provide a business update, review our financial results for the quarter, and discuss the outlook for the rest of this fiscal year before completing with a question and answer session. For the fiscal third quarter, UGI’s reportable segments delivered adjusted EBIT of $100 million versus $98 million in the prior fiscal year. We were pleased with the strong results from our natural gas businesses largely driven by increased margin from capacity management and commodity marketing, as well as higher disc margin. The global LPG businesses were impacted by warmer than prior year weather in Europe, rising cost inflation, and difficulty in filling key delivery-related positions in the U.S. These impacts were partially offset by benefits from the disciplined cost control actions that were implemented earlier in the year. UGI delivered adjusted diluted EPS of $0.06 compared to $0.13 in fiscal 2021, and this was largely attributable to $0.07 of CARES Act and other tax benefits realized in the prior fiscal year. Based on the year-to-date results and our expectations for the fourth quarter, we now expect to deliver at the bottom end or slightly below the fiscal 2022 guidance range of $2.90 to $3.  There is continued economic uncertainty due to persistent inflation, commodity price volatility, customer price sensitivity, and labor shortages. Nevertheless, we believe in the resiliency of our base business designed to minimize the impact of those risks over the long term and remain focused on executing our strategy to meet shareholder commitments.  Ted will provide more details on our fiscal third quarter results, but first I’d like to highlight some key accomplishments.  The utility segment, which has an attractive rate-based growth rate of approximately 11%, remains on track to deploy a record level of capital this fiscal year with infrastructure replacement and betterment being the primary component of the capital spend. Year to date, we’ve also added over 11,000 new residential heating and commercial customers at the utilities, demonstrating sustained and attractive customer growth within our service territories. On July 28, we received the recommended decision from the administrative law judge assigned to our current rate case. We are very pleased with the ALJ’s recommendation that the commission approve the settlement in its entirely and without modification. The terms of the settlement include an increase in gas base rates of $49.45 million in two phases, $38 million effective on October 29 of this year and another increase of $11.45 million in October of 2023. The settlement also includes a weather normalization adjustment rider that would also be effective on October 29 under a five-year pilot program. This program would reduce our sensitivity to weather fluctuations as it allows us to adjust the customer’s bill to reflect normal weather conditions if weather deviates more than 3% from the 15-year average.  Mountaineer Gas Company continues to meet our expectations and we’re pleased with the record year-to-date performance from the business. Demand for natural gas within our region remains strong and we have been pleased with the incremental earnings from UGI Moraine East, the legal entity holding the Stonehenge assets acquired in January of this year.  At UGI International, our LPG business has shown tremendous resiliency in the face of higher commodity prices and sustained inflationary pressures. There is robust underlying demand despite the impact of significantly warmer weather year over year. Our domestic propane business, AmeriGas continued to experience strong demand for cylinder exchange and national account volumes during the quarter, showing sustained increases in comparison to pre-pandemic volumes.  Turning to our renewables and rebalancing strategy, during the quarter we made progress in expanding our renewables footprint with a commitment to fully fund three projects converting dairy waste to RNG in South Dakota. These projects are expected to produce approximately 300 million cubic feet annually when completed by the end of calendar 2024.  Our previously announced RNG projects are also on track with two projects expected to be completed and operational in this fiscal year. Our business development teams are assessing a healthy pipeline with potential renewables investments as we look for opportunities to leverage our scale and expertise and continue to build our platform.  Finally, in June we were pleased to issue our fourth annual ESG report, entitled Transparency, Action and Progress. I encourage you to review the report that highlights our commitments and the strong progress that we’ve made on all key performance indicators. Now I’ll turn the call over to Ted to walk through our financial results.
Ted Jastrzebski: Thanks Roger.  UGI delivered adjusted diluted EPS of $0.06 compared to $0.13 in the prior year fiscal quarter. We’ve provided comparison of our GAAP and adjusted diluted EPS for the third quarter to the prior period. As you can see, our adjusted diluted earnings exclude adjustments totaling $0.09 related to a number of items: first, the impact of mark-to-market changes in commodity hedging instruments, a gain of $0.06 this year versus $1.09 in the prior year; adjustment for a $0.05 gain on foreign currency derivative instruments; $0.01 of expense associated with the corporate functions transformation in comparison to $0.07 in the prior year for all the business transformation initiatives; $0.02 of expenses related to restructuring costs, which is largely attributable to a reduction in workforce and the related costs.  Lastly this quarter, we adjusted out $0.17 for the impairment of Pennant, a natural gas gathering system in which UGI Energy Services has a 47% membership interest. Subject to agency approvals and other customary closing conditions, UGI expects to acquire controlling financial interest in Pennant in the fourth quarter of this fiscal year, which will be immediately accretive to earnings.  As Roger noted, total EBIT from the reportable segments is fairly consistent year-over-year despite the challenging environment. On this slide, we provide additional color on the year-over-year quarterly performance by segment. At the global LPG businesses, there was continued focus on margin management and expense control actions which partially offset net volume loss at AmeriGas and the effect of significantly warmer than prior year weather in Europe. Our natural gas businesses reported higher earnings largely due to an increase in disc margins at utilities, driven primarily by record deployment of replacement and betterment capital. In addition, utilities continued to see solid customer growth with year-to-date customer additions exceeding the levels we saw during the same period last year. We are very pleased to see our utilities team executing at such a high level, especially considering the tightness in the labor market and the competition for skilled labor we are seeing. In addition, another driver of higher earnings at our natural gas businesses was higher capacity management margin in midstream and marketing.  Moving to the individual businesses, AmeriGas reported a loss of $10 million in comparison to EBIT of $11 million for the prior year period. As Roger mentioned, significantly higher inflation, labor shortages and increased commodity costs have created headwinds for the business. Retail volume declined 6% largely due to the continued tail effect of last year’s customer service challenges, staffing shortages in key delivery-related positions, and increased price sensitivity and conservation efforts in the higher commodity cost environment. In addition to the effect of lower volume, total margin was impacted by lower average retail unit margins stemming from higher propane costs recognized during the period. The business continues to balance its margin management efforts, customer affordability, and the competitive pressures that exist.  Operating and administrative expenses decreased by $8 million, reflecting lower employee benefits and compensation, advertising and vehicle leases. These decreases were largely offset and impacted by the rising cost inflation, which also impacted our bad debt reserves and vehicle fuel expenses.  UGI International reported EBIT of $26 million compared to $41 million in the prior year period. Retail volumes decreased 7% due to weather that was roughly 29% warmer than the prior year with some offset from the recovery of certain bulk and auto gas volumes that had been negatively affected by the COVID-19 pandemic. The LPG business reported higher average LPG unit margins as the business focused on margin management, passing on higher commodity costs to customers. As a result, total margin for the quarter was roughly flat year-over-year on a constant currency basis.  Operating and administrative expenses for the quarter were impacted by the global inflationary cost environment which led to higher distribution, personnel and maintenance costs when compared to the prior year period. On a constant currency basis, operating and administrative expenses increased by approximately 15% year-over-year primarily due to these inflationary pressures. Turning to UGI International’s energy marketing business, during the fiscal third quarter we saw another wave of increased volatility in natural gas and power prices which led to continued margin pressure. When compared to the prior year period, total year-to-date energy marketing EBIT has decreased by roughly $81 million. Given continued volatility in commodity prices and the pervasive inflation that we’ve seen, we anticipate that roughly 20% of the year-to-date EBIT loss will be recovered in the fiscal fourth quarter. Roger will also speak to the status of the strategic review shortly. Lastly, our hedging strategy, which is intended to offset the multi-year impact of foreign currency changes, is working as intended and is reducing the volatility associated with U.S. dollar shifts over time. Next, midstream and marketing reported EBIT of $44 million versus $21 million in the prior year period. Total margin and operating income both increased $24 million due to a $4 million increase in commodity marketing margin, $5 million in incremental margin from UGI Moraine East, and approximately $15 million from capacity management contracts. Capacity management margins were largely impacted by the settlement timing of certain multi-year hedge contracts for stored volume, which is expected to reverse when the gas is extracted from storage during the upcoming winter. Our utilities segment reported EBIT of $40 million, $15 million or 60% higher than the prior year. This was primarily driven by the increase in disc rates and strong growth in residential and large delivery service customers. Core market volume and total volume were both up largely due to the incremental volume from Mountaineer. Total margin increased by $38 million with the incremental margin from Mountaineer, benefits from disc, and growth in residential and large delivery service customers. The increase in operating and administrative expenses, as well as depreciation expense were mainly a result of the incremental expenses attributable to Mountaineer.  Turning to liquidity, at quarter end UGI had available liquidity of $2.1 billion, demonstrating our attractive cash generation capability and strong balance sheet. This amount is affected in part by $659 million of cash collateral received from derivative counterparties. Lastly, on August 3 our Board of Directors declared a quarterly dividend of $0.36 per share. UGI has paid common dividends for 138 consecutive years and raised its dividend in each of the last 35 years. With that, I’ll turn the call back over to Roger. 
Roger Perrault: Thanks Ted. In summary, the fiscal third quarter was particularly important as we navigated the challenging business environment and advanced on several key initiatives. I am proud of how our teams have been committed to maintaining safe operations, serving our customers, identifying commercial and operational efficiencies, and supporting the wellbeing of the communities we serve.  As a reminder, last quarter we announced the strategic review of UGI International’s energy marketing business. The review is progressing and we are exploring all options, including a sale and wind down of operations. Based on the actions that we took to discontinue renewing customer contracts and renegotiate contractual obligations where feasible, projected volumes continue to decrease and we expect more substantive reductions in fiscal 2023. It is clear, though, that heightened commodity price volatility remains, which impacts financial performance. We look forward to providing further updates on the strategic review when appropriate.  Overall as we look forward to Q4 and fiscal 2023, it is clear that some of the macroeconomic pressures that have persisted this year, such as inflation, labor shortages and commodity price volatility, will continue to impact the global business community. While there is ongoing economic uncertainty, I am confident in UGI’s resiliency and capability to meet its long term financial targets of 6% to 10% EPS growth and 4% dividend growth. This is driven by our robust strategic assets and integrated asset portfolio, including pipelines, gathering systems, natural gas storage and LNG, that positions us well to meet the energy needs of customers today and in the future and provides a competitive advantage to deliver sustained growth; strong underlying demand for the energy solutions that we offer; new investments including Mountaineer and UGI Moraine East that have expanded our earnings and cash flow capacity; the long pipeline of opportunities to invest capital in a regulated utilities business in jurisdictions that provide an attractive return on equity; a strong balance sheet with ample liquidity to meet capital needs; and our dedicated employees who are committed to doing the right thing each and every day.  Thank you for your interest in UGI and your participation in today’s call. Now we’ll open the line for your questions.
Operator: [Operator instructions] Our first question comes from the line of Paul Zimbardo with Bank of America. Your line is open.
Paul Zimbardo: Hi, good morning team. Thank you. 
Roger Perrault: Good morning Paul.
Paul Zimbardo: Just wanted to check in a little bit, if you could give some color on how the cost mitigation efforts have trended, just how to think about some of the sustainability of the efforts you’ve undertaken in 2022 for 2023 and beyond.
Roger Perrault: Yes Paul, thanks for the question. As we talked about during the earnings release, we’ve continued to put tremendous focus on efficiency improvements and some cost mitigation, so we did highlight that there was some one-time expenses related to the risks that we have done, and those are costs that we don’t expect to come back in, so we have done some sizeable headcount reductions to deal with the economic environment we’re in high inflation, with volumes that were not trending as we had desired, and as such, we’ll continue to see some of those benefits continue to show up in fiscal ’23.
Paul Zimbardo: Okay, I understand, thank you. Then if you could elaborate a bit on the potential impacts across the businesses from draft Inflation Reduction Act, like the biofuel tax credit, minimum tax, and just how you’re thinking about it holistically.
Roger Perrault: Yes, it’s a very comprehensive package. When you look at the Inflation Reduction Act, there’s a lot of material, so right now we are in the process of reviewing it and looking at the potential impacts. We’re not in a position today to be able to describe how we believe that would impact us, but we’re certainly going to be using the next weeks and couple of months to unpack it, understand it, and then we’ll be able to provide some additional color to you and the rest of our shareholders of how we believe that’s going to impact us going into fiscal ’23.
Paul Zimbardo: Okay, understood. Thank you all.
Roger Perrault: Thank you Paul.
Operator: Please stand by for our next question. All right, our next question comes from the line of Michael Gaugler with Janney Montgomery. Your line is open.
Michael Gaugler: Morning everyone. 
Roger Perrault: Morning.
Michael Gaugler: I’d like to get your thoughts on the shortage of energy in Europe this winter. What opportunities does that create for the international segment, if any, and then as a follow-up, do you have all the supply you need or is that a challenge?
Roger Perrault: Yes, thank you Michael for the question. A couple of thoughts that I’d like to share with you and the rest of our shareholders. There’s no doubt there’s going to be some pressure on natural gas supply in Europe, as we’re all reading. One of the aspects for us is when we think of our energy marketing business and we look at the fact that we are currently above 90% hedged, some reduction in consumption could play out to help us have to buy commodity at the very elevated prices that we’re seeing today if the volume decreases, so there is somewhat of a positive here if our customers that are consuming natural gas are reducing their consumption based on the fact that governments are pushing to reduce consumption and, of course, we’re also working very closely with our customers to help them lower consumption and meet the commercial contractual obligations that we’ve agreed to, so that’s on the one hand. On the other hand, LPG plays a vital role in the energy mix in Europe, and there is some potential here. There is potential that LPG will continue to precipitate as an alternative molecule that would provide energy to the millions of households and commercial businesses, so we always look at LPG as a very convenient molecule. It’s easy to package, it’s easy to transport, and we do have a very robust infrastructure to receive such, so we do get supply from Northern Africa, over time of course we’re getting more and more supply coming in from the U.S. When I think about the infrastructure, our supply arrangements which are in good standing, there is an opportunity that LPG will play a bigger role in the energy mix in Europe as they continue to be facing the significant headwinds that we’ve all been experiencing and reading about.
Michael Gaugler: Okay. Then just one more on the utilities segment, strong customer growth there. Can that level be maintained through the next few years, and I guess there I’m asking about what do you have in terms of customers or potential customers that are on the main but not yet hooked up?
Roger Perrault: Yes, we are certainly pleased with the continued progress our utility has made to grow customer base, but I’ll pass it over to Bob who will provide some more color.
Robert Beard: Yes, morning Michael. We’re seeing a 2% year-over-year increase this year, and to answer your question, we’ve got about a quarter million potential customers within range of a service line. 
Michael Gaugler: Wow, that’s pretty good, Bob. 
Robert Beard: It is.
Michael Gaugler: That’s a lot of targets. 
Robert Beard: It is. We’ve got marketing programs that are targeted to that group. We think our tariff provisions that we’ve had over the last couple rate cases are really constructive, so I think we’re in a good place there.
Michael Gaugler: All right, well that’s all I had, gentlemen. Thank you.
Roger Perrault: Thank you Michael.
Operator: Thank you. Stand by for our next question. Our next question comes from the line of Mark Solecitto with Barclays. Your line is open.
Mark Solecitto: Hi, good morning. I think you mentioned you expect to recover 20% of the roughly $80 million of energy marketing losses in 4Q. When we just think about the normal seasonality cadence in the business and the implied 4Q contribution with the updated guidance language, just wondering if there are any other puts and takes that would kind of offset some of the normal seasonality across your businesses.
Roger Perrault: Yes, thanks Mark for the question. Correct - we highlighted that we expect to recover 20% of that $81 million that we’ve seen as a headwind in energy marketing. A lot of that 20% is due to many factors, but certainly the fact that we stopped signing contracts early in the year, so what we’re now seeing is some volume runoff, some contracts that are coming to their end and we’re not having to service that volume going forward, so that’s part of it. The other part, of course, is backwardation, which we explained in prior calls where there was more margin loss in the early period and we’re going to see that be recovered and become margin improvements and positive margins in future periods. We are starting to see that backwardation play out as we had explained. I think the other component that we’ve got to take into consideration when we’re looking at the fourth quarter is just the very strong expense control actions that we’ve taken as a company. We’ve done some [indiscernible], of course, that we talked about, so some employee reductions, and continued extreme discipline at managing opex and cost, everything from just not filling open positions and being very careful with discretionary expenses, etc. When we really package all of our efforts around cost mitigation, we do see that play out in the fourth quarter.
Mark Solecitto: Got it, appreciate the color there. Then when you guys initially introduced some of the cost saving measures at AmeriGas, I think you were originally targeting a long term EBITDA contribution of $630 million to $650 million there. Just wondering - you know, obviously some of these headwinds could prove transitory, but just wondering if anything has structurally changed in that business, or any color you’d have there.
Roger Perrault: Yes, what we can say is a continuation of what we introduced into the conversation in past earnings calls. We did see some--when we deployed the new operating model at AmeriGas, we did see some service level issues, and those service level issues have led to higher than anticipated volume losses in the last several quarters. Now, the good news is we’re seeing our level of service improve on all fronts. Every metric we look at is now seeing some improvements, and we certainly now are of the expectation that much of that is--and now it’s been about a year since that last winter that we had experienced those service issues, we’re now at a period where we do expect volumes to settle out and to start improving over time, so I wouldn’t say anything structural.  I think what we have seen is some higher than anticipated volume losses that, of course, our teams are hard at work on recovering, so we’re very focused on growth, very focused on service levels, and of course very focused on appropriate margin management in this environment when we think of high inflation and think of competitive pressures. 
Mark Solecitto: Got it, appreciate the color there. Then maybe just lastly, a quick one - you know, the impairment charge that you took during the quarter, could you just elaborate on the drivers behind that?
Roger Perrault: Yes, it’s related to one segment, the Columbia midstream assets we acquired. What I’ll do is I’ll let Bob and Ted elaborate on that.
Robert Beard: Sure. Thanks Roger. This is Bob. Ted can cover the purchase price allocation issue and how we addressed that; but from an operating standpoint, it’s a pretty simple story. The percentage of production from the wells that feed Pennant is less wet gas than originally anticipated, so while the wells are still productive, they’re primarily dry gas wells, so any upside that we saw from liquids is questionable at this point and we thought it prudent at this point to take that adjustment.
Ted Jastrzebski: I would just add that when we made the acquisition, you’re doing acquisition accounting that allocates that purchase price across five different gathering systems before we’ve actually had a chance to own them, run them, understand them, and so there is quite a bit of discretion in how that accounting allocation works, a lot of variability there, and so part of this is correction over time of understanding those assets.
Robert Beard: This is Bob again. One thing we want to be clear on, though, and what we’ve said is that the Columbia midstream group continues to perform very much in line with the expectations we had when we acquired it, so we remain pleased with the assets and the growth potential around those assets.
Mark Solecitto: Got it, and maybe tying onto that, midstream marketing had a pretty good quarter, pretty good year-over-year growth in 3Q. Can you just talk about the outlook in 4Q? I think you guys referenced some of the capacity management benefits as well as commodity marketing. Have you seen those trends continue in 4Q here?
Robert Beard: Yes, this is Bob again. Yes, we continue to see strong activity in our marketing group. A lot of the tailwinds that we’re seeing, as I think Ted mentioned in his remarks, would be some of the storage hedges that we have, the value of the gas that we put in storage at the time it went in the ground versus its value today, so that’s been a pretty good tailwind. We expect to see, as Roger indicated, some of that reverse next year, but generally, to answer your question, we think the midstream and marketing group activity is going to remain strong for the foreseeable future.
Mark Solecitto: Great, appreciate the time.
Roger Perrault: Thank you Mark.
Operator: As a reminder, to ask a question, you will need to press star-one-one on your telephone. Please stand by. At this time, I’m not showing any further questions. I would now like to turn the conference back to Roger Perrault for closing remarks.
Roger Perrault: Thanks Amy, and thanks all of you for joining us today. We do look forward to meeting many of you at the upcoming conferences and also talking with you at our next earnings call, which will be in mid-November.  Thanks and have a great day.
Operator: Thank you. This concludes today’s conference call. Thank you for participating. You may now disconnect.